Operator: Hello, and welcome to Babylon's Fourth Quarter and Full Year 2022 Earnings Conference Call and Webcast. [Operator Instructions] Please note, this event is being recorded. Leading the call today is Dr. Ali Parsa, Founder and Chief Executive Officer; David Humphreys, Chief Financial Officer; and Dr. Saurabh Johri, Chief Science Officer. Before we begin, we'd like to remind you that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and as further described at the end of the press release that is posted on the company's website. These forward-looking statements reflect Babylon's current expectations based on the company's beliefs, assumptions, information currently available to the company and are subject to various risks and uncertainties that could cause actual results to differ materially. Although Babylon believes these expectations are reasonable, the company undertakes no obligation to revise any statements to reflect changes that occur after this call. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements can be found in the Risk Factors section of the company's annual report on Form 20-F filed on March 30, 2022, its annual report on Form 10-K for the year ended December 31, 2022, to be filed with the SEC and its other filings with the Securities and Exchange Commission. In addition, please note that the company will be discussing certain non-GAAP financial measures that they believe are important in evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and a reconciliation of historical non-GAAP financial measures can be found at the end of the press release that is posted on the company's website. This presentation slide for today's call are also available on the company's website. With that, I'd like to turn the call over to Babylon's CEO, Dr. Ali Parsa. Dr, please go ahead.
Ali Parsa: I would like to welcome everyone to Babylon's fourth quarter and year ended December 31, 2022 earnings call. Thank you for your time and interest in Babylon. I'm joined today by David Humphrey, our Chief Financial Officer, who will provide more details on our financial results; and Saurabh Johri, our Chief Science Officer, who will provide some further information about our AI work, after which we will open the call for any questions. I want to open our discussion today with three observations. Firstly, on the broader industry and how we believe we are in the right place with regards to the trends we are seeing. Secondly, on our 2022 results, which have again exceeded guidance; and lastly, on some recent developments. So first, turning to the sector. I believe we are witnessing a number of key industry trends coming together to validate Babylon's teaser [ph] and approach. These include: one, a shift in provision models from hospitals into community, retail and primary care. This trend will not stop here and we'll continue to move to home care and eventually to individuals mobile devices to cover them wherever they are. This is why we are witnessing so many high-value acquisition activity around primary and community care providers. For reasons articulated below, we think this is just the start. Two, a shift in balance of power between players and provider systems. Part of this is an asymmetry in supply and demand, where we have an oversupply of hospital services, while much of their activities are moving out versus an oligopoly of 7 publicly traded managed care organization. This has led to an increasing imbalancing share of the profits in the segment. The result is further consolidation by dominant payers who are creating a really enforcing mechanism by acquiring and adding to their stack of services and therefore capturing yet more of the value chain. Three, a shift in payment models, which is slowly but surely moving from fee-for-service to value-based care. Research has shown that when primary care groups are optimally structured as a team of health care professionals with doctors, nurses, behaviourists, formative and medical assistants working together to provide integrated longitudinal care to patients this model can deliver a reduction of up to 55% in hospital admissions, 75% in emergency room presentation and 50% in readmission and demonstrably fewer gaps in care. Four, a shift from analog to digital platform. While this is part of a long-term transformation across all industries, the current severe clinical workforce shortages has become an accelerant to this trend in health care. Simultaneously, emerging technology, particularly in AI are making it harder for the sector to ignore their value. This will increasingly lead to a transformation of physical to virtual services, digitization of back office, automation of patient journey and deployment of AI as the first point of engagement to gain productivity in face of workforce shortage. All we do in Babylon is to position us to be beneficiary of these trends. While there are many who play into one or some of these trends, we believe Babylon is among the few who can capitalize on all of these threats. In time, our focus to purpose build a digital-first platform that can deliver integrated care at scale will create a more accessible, affordable and scalable model of care that should provide us with a competitive advantage. Now turning to our 2022 results. They demonstrate how we are taking the right steps to deliver what was described above. While our focus last year changed from growth to profitability, 2022 was still another year of strong revenue growth for Babylon since much of what we brought to market had been signed in the previous year. We exceeded our revenue guidance with over $1.1 billion for the year, a 3.5 times increase over the previous year. We grew our fourth quarter revenue to $289 million, a 2.5 times increase over the fourth quarter a year before. But as I mentioned earlier, in 2022, our focus turn to accelerating our profitability as we had already demonstrated the scalability of our platform and its ability to grow. This shift in focus was a direct response to the change in market demand from growth to profitability. The difference in valuation between us and companies in our sector who are adjusted EBITDA profitable and fully financed is not some 20%, but more like 24. So much of Babylon attention had to return to achieving adjusted EBITDA profitability and becoming fully funded as soon as possible. In 2022, our most matured business, the U.K. operation became profitable on its cost of care delivery margin. And now our U.S. clinical services business is expecting cost of care delivery profitability in early 2023. Also in 2022, our key value-based care contracts produced profitable medical margins. It is important to note that this was essentially the first full year of most of these cohorts. And as you know, for most companies, it takes a few years to make any new cohort profitable. What makes us particularly confident is that Babylon rate of the engagement of value-based care members is increasing significantly with the latest cohort of members showing 8 times after engagement than the earlier cohort. This is important as for infants in our Iowa cohort, which went live in January 2022, the company saw a 5% reduction in cost of care for engaged members compared to a 7% general increase in cost of care for non-engaged members. We expect consistent improvement on these results as the cohorts become more mature.\ In addition to the contribution from the improved profitability of each of our businesses, we implemented $125 million in annualized cost reduction in 2022, all of which have already been executed coming into 2023. This meant our adjusted EBITDA margin improved to minus 16.9% for Q4 2022 versus minus 68.5% in Q4 2021, 52% improvement year-on-year. We have reduced our projected 2023 adjusted EBITDA loss to approximately minus $100 million to $120 million. I am therefore happy to say that we now expect Babylon to achieve adjusted EBITDA profitability by mid-2024 significantly earlier than what was assumed before. Finally, turn you to some recent developments. Operationally, in recent months, we have launched 10 new chronic condition management programs for Babylon's 60 [ph] high-risk members to better manage their personalized care. We have digested data for 170,000 members into our new health care, identifying 25% more high-risk members with our AI that would have been detected by typical risk prevention models. We continue to focus our product investments in our healthcare AI models and intelligence platform, which will be central to delivering value to our members, partners and clients. In January, we launched an important digital first commercial deal with Ambetter across 6 states. With enrollment levels above our expectations at around 30,000, we are seeing engagement rates in the first month of these commercial contracts that looks more like those that are 6 months in the decade book. This program has been - has seen more members signing up faster with less activation efforts, while engagement of users is exceeding all expectations. We will first move in digital first engagement primary care in the U.K., and this contract brings our full model of care into the United States, where we are the primary care provider and navigator for the total health care for more than 90% of the members. The success of this team and the deals we have in our pipeline gives us even more confidence in our ability to transition the majority of our revenue mix from Medicaid to commercial as we are engaging with other customers. This has been a good start. And while we began this year with an additional circa 30,000 commercial lives, our goal is to exit 2023 with a markedly larger number. This mix shift should also deliver a structural improvement in our gross margin as commercial cohorts have better medical margins than Medicaid. As we refine the business, we are finding the right cohort and population that sets our care model. Also, because of the amount of data we collect into our health graph and our AI models, we are developing increasingly more sophisticated ways of managing risk and predicting issues before they turn into expensive emergency. This model is on sweet spot. We have done this before and know how to do so again. Late last year, we announced plans to sell our IPA business mainly due to the shortfall from the SPAC funding in order to fully finance Babylon to profitability. After starting this process, we have been approached by potential investors who have suggested other strategic alternatives, some of which would include retaining the IPA business. Revenue has quadrupled, in the short-term Babylon has owned Meritage. And since the barriers to entry for these types of assets are reasonably high, these investors believe long-term shareholder value creation may be better served by further developing these assets. To give us more time to assess all strategic alternatives, we have agreed to a working capital facility of up to $30 million with our current this provide their AlbaCore, as an extension to our existing lending arrangement. This support will provide incremental time line, flexibility for Babylon to execute a solution that optimizes future value. Before handing the call over to David, as always, I would like to thank the entire Babylon team for their hard work and the relentless commitment they have shown over this past year. They have continued to deliver every day to drive us forward on our mission to provide high quality, accessible and affordable health care to all. I am truly fortunate to work with such a wonderful group. We have changed the playbook on them, flipped the script [ph] and focus them on profitability over growth. And they have been nimble, been exceptionally supportive of the company during this time. Companies don't deliver, people do, and I couldn't be more proud of our people. With that, I'll pass the call over to David to provide more details about our financial results. David?
David Humphreys: Thank you, Ali, and thank you to everyone for joining our call today. I'd like to share further comments on our financial results for the fourth quarter and year ended December 31, 2022. I will discuss our overall financial performance, focusing particularly on our path to profitability as a result of us beating our previous revenue guidance, driving changes to our revenue mix and the successful execution of our previously announced cost reductions. As a result of Babylon now filing reports to the SEC as a U.S. domestic registrant rather than as a foreign private issuer, all numbers provided on today's call will be referencing U.S. GAAP rather than IFRS, unless specifically communicated otherwise. As Ali mentioned, we've had a great year and delivered another strong quarter of financial performance as summarized on Slide 3 of the presentation. We reported revenue of $289 million for the fourth quarter, which represents a 2.5x year-over-year increase and revenue for the full year 2022 exceeded our previous revenue guidance at over $1.1 billion, which represents a 3.5x year-on-year revenue growth. From a profitability standpoint, we delivered an adjusted EBITDA loss of $48.9 million for the fourth quarter, which equates to an adjusted EBITDA margin of negative 16.9%. This is equivalent to a $16.3 million adjusted EBITDA loss per month during the quarter, a 52 percentage point improvement year-over-year. This comfortably exceeds our previously announced forecast of December 2022 adjusted EBITDA loss of $18 million or less per month and sets us up well to accelerate our expected path to profitability to mid-2024. These numbers are particularly impressive given our previous guidance was provided on an IFRS basis, and our reported U.S. GAAP adjusted EBITDA includes some technology and lease costs that were capitalized under IFRS, but expensed under U.S. GAAP. Refer to the IFRS to U.S. GAAP bridge in the appendix of our presentation for further details. Let me now add some additional color and details on the Q4 results. Top line revenue growth, as shown on Slide 4 of the presentation was again primarily due to the growth in value-based care revenue, which increased by 177% year-over-year to $268 million in Q4 2022, while U.S. VBC membership grew 1.6x year-on-year to a total of over 261,000 VBC members as of December 31, 2022. VBC and related revenue accounted for 93% of total Q4 2022 revenue. We continue to focus on diversifying our VBC membership mix, as shown in Slide 5 of the presentation by increasing our proportion of higher PMPM and easier to engage digital first, Medicare and Commercial populations. These two populations grew from 27,000 members in Q4 2021 to 54,000 members this quarter, generating nearly 50% of our VBC revenue in Q4 2022, an increase from 27% in Q4 2021. Turning to look at our operational costs. We're pleased to see our cost of care delivery, technology and SG&A expenses all falling as a percentage of revenue this quarter. This reflects our digital scalability and a successful execution of $125 million of cost reduction actions, as highlighted on Slide 13 in the presentation. Combining both claims expense and clinical care delivery expense, our total cost of care delivery expense for the quarter was $283 million, which is an increase from $129 million in Q4 2021 due to the increases in our value-based care membership described earlier. However, cost of care delivery expense as a percentage of total revenue decreased from 110% in Q4 2021 to 98% in Q4 2022. Our technology expenses, which are comprised of platform and application expenses and research and development expenses were $16 million for this quarter, a decrease of $9 million from Q4 2021. Due to the operational leverage of our technology, technology costs decreased significantly as a percentage of revenue and 21% in Q4 2021 to just 5% in Q4 2022. Similarly, our SG&A expenses, which decreased to $53 million this quarter versus $73 million in Q4 2021 have also decreased as a percentage of revenue. SG&A expenses reduced to 18% of revenue in Q4 2022 compared to 62% in Q4 2021, reflecting the successful execution of our previously announced cost reduction initiatives. Moving to the balance sheet. Cash and cash equivalents as of December 31, 2022, was $104.5 million, including $61 million of cash and cash equivalents classified as held for sale. To conclude, I am incredibly proud of the strong financial results we delivered this quarter and throughout the entire year. I'd like to thank our whole team of Babylonians for their hard work this year and their continued commitment to deliver the best possible care for our members. I'm proud to continue to work a lot side them [ph] every day to drive forwards on our mission to make high-quality health care accessible and affordable for everyone on earth. With that in mind, I'd like to turn it over to Saurabh.
Saurabh Johri: Thank you, David, and to everyone else joining the call today. As we've all seen, generative AI has taken the worldwide storm, and it has the potential to significantly impact every industry in which is applied. Of course, health care is no different. However, the application of AI and specifically generative AI for health care does come with many challenges, which must be addressed to overcome the errors, factual inaccuracies and other unintended consequences of these technologies so they can support the delivery of safe, accurate and orders for AI systems for health care. This will be necessary to drive the type of personalized and predictive solutions that are capable of driving increased engagement and improved health outcomes with and for our members, as well as the automation required to reduce the burden on our clinicians by delivering more of the care our members need via self-care or by directing members to less expensive health care providers. Our investments in AI technology, together with our IP and know-how for developing, integrating and deploying AI technology for our members and clinicians over the past few years places us in a unique position to leverage the power of generative AI to deliver a conversation for us products and solutions that are at the heart of our digital first model of care. Version 1 of our AI technology, which we developed in our early days, focused on AI that's grounded in robust clinical knowledge with a focus on meticulously modeling our data from medical records, and this was the basis for our first commercial AI products, Triage, which was our symptom checker. Triage demonstrates our ability to leverage conversational AI technology to deliver self-care triage and differential advice and recommendations to members in numerous markets globally. Version 2 of our AI, which has been our focus over the past 18 months has been about building out data and intelligence platform capabilities to scale the ingestion and modeling of data from third-party sources, such as claims, EHR [indiscernible] information exchanges, devices, labs and pharmacies, as well as the developments and deployment of a growing library of AI models and intelligent agents in the next 12 months, including third-party AI models such as GPT-3 and others as they emerge and which our teams are currently integrating deeply within our own AI technology. This brings us to Version 3 of our AI, which will be our focus over the next 12 to 18 months and which will be focused on the delivery of our conversation first member experience, driven by generative AI again to deliver personalized, engaging and proactive experiences, which leverage the foundations of our robust clinical knowledge from Version 1, as well as the scalable injection and modeling of health care data and rapid development and deployment of AI models via our intelligence platform. As I mentioned previously and no doubt as some of you will have experienced when experimenting with Chat GPT yourselves, although impressive, these systems still produce errors in factual inaccuracies, because although they've been trained on large volumes of data, they have still not been adequately grounded with knowledge and facts. This is precisely where our investment in robust clinical knowledge in the form of our clinical knowledge graft technology will be a game changer for applications of generative AI and health care. One can think about clinical knowledge providing a form of verification or fact-checking for generative AI systems, ensuring that they deliver safe and reliable results. Our teams of AI scientists and engineers are actively developing and testing these systems with impressive results, which will be translating into the core of our technology and product experience over the coming 12 to 18 months.
Operator: Thank you. [Operator Instructions] Our first question today is coming from David Larsen from BTIG. Your line is now live.
David Larsen: Hi. Congratulations on a good year and a good quarter. Can you talk a little bit about the sale of the IPA? It sounds like you're considering retaining at least a portion of it. Just some more detail there would be great. And then how much cash would you expect to bring in from a transaction with the IPA? And will that bring you through like to EBITDA profitability? Thanks.
Ali Parsa: David, thank you for your question and also for your kind remarks. As we said, when we put the IPA for sale, we were approached by others who gave us alternative solutions for our financing requirements. We like the IPA business we bought there was a logic to it. We believe that technology can enable and empower clinicians to do a lot more than what they're doing now. And in the same way that our technology has made our business so much more scalable, we think that, that can work for other primary care providers. So that was the logic for [indiscernible] we sort how we can scale that business. We quadrupled it in a year, but we couldn't really have the time then, by the time we decided that we probably have to sell it in order to get the cash we need to bring the business to profitability. By that time, we didn't really implement the kind of changes we do to make the businesses more efficient and more profitable. The option now has been given to us to consider keeping the IPA or at least that you mentioned a proportion of the IPA and making it performed the way that we know how to and therefore, significantly increasing its value. We are now considering those options. And I think we have given ourselves a little bit more time to see what is the best possible outcome for all our stakeholders. And so that's pretty positive. I mean, we are very encouraged that we have other alternatives now. And whichever way we do, we do need to get this business fully financed, as you mentioned, and that is absolutely RA [ph].
David Larsen: Okay. And it sounds like you pulled forward the timing for EBITDA profitability for the entire organization. Can you talk a little bit about the drivers for that? And also, how has the nature of conversations with health plans evolved? What are they asking you to do for them? How does the pipeline look? Thanks very much.
David Humphreys: Hey, David. So when we think about the acceleration here to profitability midpoint of 2024. For us, that continued focus on revenue mix is key. We've really been pleased with what we've accomplished there. Our revenue in Q4, over 50% of our VBC mix was outside of Medicaid. We see that continue into FY '23, particularly we've launched the Ambetter transaction. And our membership there, the latest numbers we've got in at 34,000 members there. So that's huge in terms of moving us towards profitability. Second up, we're seeing as we mentioned in the release, great COCD margin improvements. Our U.K. business is already profitable. Our U.S. clinical services revenue is well on the way to being there shortly here this year. And finally, on our medical margins, we're seeing great margins coming through, particularly from our portfolio of contracts that are in that sort of 12 to 15-month years of tenure. Finally, when I think about profitability, what we successfully executed are cost savings initiatives. So we've got $125 million of OpEx savings there, which will roll through on an annualized basis in '23.
David Larsen: Okay, great. Thanks very much. I'll hop back in the queue.
Operator: Thank you. Next question is coming from Allen Lutz from Bank of America. Your line is now live.
Allen Lutz: Good morning and thanks for the questions. Ali, you mentioned a 5% reduced cost for engaged members. I guess can you talk about where those savings are coming from and what the company has learned? And then as you expand more into commercial, I think you mentioned that, that's going to accelerate as a percent of the total over the course of the year. How do you think about the differences in engaging a commercial population versus the Medicaid population? Thanks.
Ali Parsa: So thank you for that, Alan. The answer to the first question is that it's almost coming from everywhere. So what we do is when we assess and engage a new member, we fundamentally are assessing the data I'm figuring out that what it is that we think are the risk areas for them and then enrolling them into programs that adverses that risk area. Often is meant to behavioral health issues. It could be a chronic care management issue. And in reality, as you know very well, about two thirds of all costs in health care are predictable, preventable diseases or illnesses that just remain untreated until they become crisis and emergencies, which are more expensive. So what we do, and we expect that trend to grow is that as we engage people and bring them on to the platform and can monitor them and assess them, we proactively manage whatever conditions that they have in order to keep them healthier, happier and obviously financially more attractive. On your second question, the difference between Medicaid and Commercial. To be honest, the difference is significant. So actually, if you look at our most recent commercial members, the engagement rate has been 8 times faster than our Medicaid members - Medicaid members. Remember, the very first Medicaid members we got were people that almost our clients could not almost even find that where they are and they were highly unengaged in their health care. And that's why they were attributed to us on our very first contracts. As we proved what we can do with them and move to commercial, I think it's significantly easier to engage people. And we are now seeing in our commercial contracts in United States, the same rate of engagement that we are seeing in our contracts in United Kingdom, and therefore, we expect the same results that we achieved in U.S., U.K.
Allen Lutz: I appreciate that color. And then one for David. How much of the IPA revenue, if any, is embedded within the guidance, and then for revenue? And then how to think about the trend of revenue over the course of 2023? Because I guess if we're backing out IPA, that's about $100 million a quarter. Just trying to figure out what's embedded in the guidance and how to think about the ramp ex-IPA over the course of 2023? Thank you.
David Humphreys: Yes, sure. So let me start with the IPA and then let's talk about the revenue ramp for the non-IPA business. So starting with the IPA business, as you say that business has broadly been running $100 million or so of revenue a quarter. We're assuming that we do execute a sale of that business when we're providing our revenue guidance here and signaling our assumption in our model would be sale of that business in the middle of this year. Then sort of switching over to the non-IPA business. As I mentioned earlier, the Ambetter contract went live in January 2023 and is already outperforming our own internal expectations. And actually, we've had some really great momentum in our U.K. business, particularly on the private side, and we're seeing both pricing and volume uptick in that business at the start of '23. So a lot of our '23 growth is really already baked in and coming through in the early part of the year here. In terms of - sorry, what still left to do, we focus on and close to extending out an arrangement with an existing customer that is clearly in our sort of land-and-expand category. What do I mean by that? Was it a Medicaid arrangement today? We are close to sort of extending that relationship into another commercial deal. And look, our team has got a great track record of executing on revenue growth. So we'd like to continue that here as we get into '23.
Allen Lutz: Great. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question is coming from Daniel Grosslight from Citi. Your line is now live.
Daniel Grosslight: Hi, guys. Thanks for taking the question and it's great to see you're accelerating your time to profitability to mid-24. Just wanted to dig in a little more on that. By my math, you'd have to reach care margins in the mid-teens to do that from around 2% today. You're at 99% MLRs. Obviously, that's going to improve as you grow more into commercial, more into Medicare Advantage. But I just want to make sure that I'm thinking about that correctly to achieve EBITDA profitability, your care margins are going to have to expand into the mid-teens, mid to high-teens. And what care margin do you have to achieve? And what MLR do you have to achieve more specifically to reach that breakeven?
David Humphreys: Okay. Dan, it's David here. So look, we would not project getting to that level of MLRs or medical margins in order to achieve profitability in 2024. We do, as we've mentioned, feel that the focus in revenue mix towards commercial does give us more upside opportunity on our medical margins. But we - as we've talked before, there is - our contracts are relatively young still. So to get to that double-digit growth would take a bit of a period of time here. What we are seeing though is margin improvement across the business. We talked about that in terms of our U.K. cost of care delivery margins. We've talked about that in terms of our U.S. clinical services. And then, obviously, we are seeing improvement mix come through on the VBC margins. The final bit I would probably say in here, remember, just on the cost savings standpoint, we will get the full benefit of the $125 million on an annualized basis in '23. So when we think about that path to profitability, the successful execution of that, which we've already done is a big chunk of the gap there.
Daniel Grosslight: Got it. And maybe if you can just give us some guidepost on what - how you're thinking about MLRs as you reach adjusted EBITDA profitability in mid-'24?
David Humphreys: Yes. So we - when we think about our MLRs, we, first of all, bucket our contracts by contract type. So we think about our Medicaid portfolio. We think about our commercial portfolio and we think about our Medicare portfolio. We secondly look at the tenures of those contracts. And when we progress things out, we speak about that from a couple of perspectives. One is what our engagement statistics look like. So for example, the embedded model where you'll see in our presentation materials, our engagement is 8 times as fast as we've done historically. So there, the path to that increased margin is significantly more in our minds than some of the contracts we have today where that engagement is tougher. So those pieces will come into place when we map out on a contract-by-contract basis, thinking about what is the type of contract, what is that engagement level and how long into a contract are.
Daniel Grosslight: Okay. Okay. And maybe if we can also talk a little bit more about your commercial strategy. Obviously, Ambetter is outperforming as you mentioned. But then if you sell Meritage in the second half, you might see a little bit of a dip in commercial membership, too, just because that asset isn't largely commercial. So the question is, do you anticipate signing new commercial contracts this year? Or is all that commercial growth really going to be through Ambetter? And if you're going to sign more commercial contracts, what do you think the cadence of that? And I assume that's really all going to be in the individual market?
David Humphreys: Yes. Let me just start on the IPA business. That business actually is a mix of Medicaid, Medicare and commercial. The commercial book in terms of revenue contribution is actually fairly small. When we think about the commercial growth, as you say, Ambetter 34,000 membership is a later number is a huge contribution to '23. And from - as I mentioned earlier, in terms of a pipeline perspective, we're very much focused on that commercial space.
Daniel Grosslight: Got it. Thank you.
Operator: Thank you. Next question is coming from Richard Close from Canaccord Genuity. Your line is now live.
Richard Close: Yes. Thanks for the questions. Maybe just clarifying some of the other questions and answers that have been provided here. So on the Medicaid book of business, is there anything we should be thinking about in terms of contracts coming up or potentially ending and lives rolling off first with respect to the Medicaid?
David Humphreys: Sure. So as I mentioned earlier, the Medicaid book for our largest contracts which typically are in that, so just finished that first full fiscal year. Those have been showing very good positive medical margins. And clearly, areas that we're invested in continuing on as we go forward to '23. There's one or two smaller and actually older Medicaid contracts where we are actively engaging with our customer around the contract terms as we look ahead here, we're just challenging ourselves. We have the right contraction turns to get them to the profitability profile that we want to see in the business. So we continue to work those through with our customers.
Richard Close: Okay. So no significant ramp down with respect to any contracts on Medicaid?
David Humphreys: As I mentioned, there are one or two contracts that we are in active negotiations on and we'll update you all if we reach conclusions on where we are there with the negotiations.
Richard Close: And then would the landing expand, you had mentioned one Medicaid customer, you're looking at expanding with that customer into commercial. How should we think about like if that's successful when those lives come on, is that just for the new benefit year so think January of '24? Or do you have the potential for new lives coming on during 2023 from opportunities like that?
David Humphreys: Yes. We believe we've got the opportunity to bring new lives on in '23. If you look back historically, we do have a track record of doing that. Typically, it might be the first day of the quarter. But our expectation is that we will be able to bring on additional lives during 2023.
Richard Close: Okay. And just to clarify the IPA business in terms of the revenue guidance at $1.1 billion plus, roughly $200 million of IPA revenues included in the $1.1?
David Humphreys: So as I mentioned, when we think about the guidance, we've assumed a sale of the IPA business in the middle of 2023. That is a growing revenue business. Our expectation would be the revenue contribution on a month-by-month, quarter-by-quarter basis for the IPAs would be larger in '23 than it was in '22.
Richard Close: All right. Thank you.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Ali Parsa: Thank you very much, operator. Thank you, everybody, for attending this call. I am super grateful for everybody for your time. I think we - as you saw, we had generally a great year. We increased our revenue by 3.5 times. More importantly, we changed the playbook. We moved from growth into profitability. Not only we saved significant costs out of our operating expenditures, and more importantly, by focusing on each of our operations, we turned our U.K. business profitable. We're just about to turn our U.S. clinical services business profitable, and I'm super proud of the fact that the most important of our value-based care contracts we demonstrated that we could turn them profitable, even in their year one. When you look at other value-based care contracts and companies, you know that it takes up to 3 years and usually more than that in order to take those contracts profitable. And we are competing in mind share with companies who've been in the United States for longer than 10 years or just about that period. We have only been there for about 2 years and have taken this contract, and they're already showing strong results. We remain confident that '23 will be a great year for us. And I think as quarter-after-quarter, we'll hopefully continue to outperform tasks and the targets we put for ourselves. And we're looking forward to becoming profitable sooner than we guided for before and be masters of our own destiny and our own cash going forward. Thank you so much for your time. On that basis, I know many of you want one-on-one conversations with our team, and we look forward to seeing you there. Goodbye.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.